Operator: "
Adhir Kadve: "
Louis Tetu: "
Laurent Simoneau: "
Brandon Nussey: "
Richard Tse: " National Bank Financial, Inc., Research Division
Thanos Moschopoulos: " BMO Capital Markets Equity Research
Paul Treiber: " RBC Capital Markets, Research Division
David Kwan: " TD Cowen, Research Division
Suthan Sukumar: " Stifel Nicolaus Canada Inc., Research Division
Operator: Good afternoon, ladies and gentlemen, and welcome to the Coveo Second Quarter Fiscal 2026 Financial Results Conference Call. [Operator Instructions] This call is being recorded on October 30, 2025. I would now like to turn the conference over to Adhir Kadve, Head of Investor Relations. Please go ahead.
Adhir Kadve: Good afternoon, everyone, and thank you for joining us. With me to discuss Coveo's Fiscal second quarter 2026 results are Laurent Simoneau, Coveo's Co-Founder and Chief Executive Officer; Louis Têtu, Coveo's Executive Chairman; and Brandon Nussey, Coveo's Chief Financial Officer. A reminder that some remarks made today will be forward-looking statements within the meaning of applicable securities laws, including those regarding our plans, objectives, expected performance and our outlook for the third fiscal quarter and full year fiscal 2026. These are forward-looking statements given as of October 30, 2025. And while we believe any statements we make are reasonable, they are based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from those expressed or implied. Coveo disclaims any intent or obligation to update our forward-looking statements, whether as a result of new information, future events or otherwise. Further information on factors that could affect the company's financial results is included in filings we make with Canadian securities regulators, including in the Risk Factors section of the company's most recently filed annual information form as well as the key factors affecting our performance section of the company's most recently filed MD&A, both of which are available on our SEDAR+ profile at sedarplus.ca and on ir.coveo.com. Additionally, some of the financial measures and ratios discussed on this call are either non-IFRS measures, ratios or operating metrics used in our industry. A discussion on why we use these metrics and where applicable, reconciliation schedules showing IFRS versus non-IFRS results are available in our press release and our MD&A issued today. Finally, please note that unless otherwise stated, all references and financial figures made today are in U.S. dollars. Our presentation slides accompanying this conference call can be accessed on our IR website under the News and Events section. I will now turn the call over to Louis to review our platform and strategy, followed by Laurent, taking us through our operational and strategic highlights of our second quarter, and we'll end off with Brandon, taking you through the financial details and provide our outlook for Q3 and fiscal 2026. We will then open the line to your questions. With that, over to you, Louis.
Louis Tetu: Thanks, Adhir, and thanks to everyone joining us this evening. I'm pleased with our results this quarter. Our SaaS revenue, total revenue and adjusted EBITDA all came ahead of our guidance, and we delivered another quarter of revenue growth acceleration. Generative AI, agent AI and AI-powered experiences represent the most significant opportunities of our time. And while most enterprises are still chasing tangible results, Coveo's customers and partners are already realizing meaningful ROI from our platform, and our results this quarter really show that. Laurent and Brandon will comment on these results. I want to focus on helping investors understand our views on the fast-evolving dynamics of the AI, Gen AI and agent tech market backdrop, in particular, why we believe that this continues to build an important opportunity ahead of us and why we believe Coveo will continue to stand out, thanks to unique technology and real results. First, a reminder of the fundamental thesis around which Coveo is built. powering every point of experience with AI grounded in enterprise data. The importance of AI and digital cannot be understated. It changes everything because it enables digital experiences to become hyper-personalized, prescriptive and now thanks to generative AI, conversational, insightful and advisory. Think of it this way. When buyers, customers, employees or citizens can go online, express their detailed context and then obtain powerful recommendations and advice that is relevant to them. They buy more, they learn faster, they solve issues on their own and become more proficient and productive. In addition, on the business side, when AI models can deliver these experiences while at the same time optimizing business metrics such as revenue, cost or margins, you get quantum leap in business performance. If online, my brand can sell you something that delights you while simultaneously getting rid of my excess inventory, pushing my campaign or maximizing my margin. And then if I can do this for 1 million other consumers on that same day, I'm redefining my business. If I can answer your very intricate customer question, even the most complex one and do this for 1 million other customers on that same day, I'm redefining my business. This is what the Coveo AI platform can do grounded in your secure enterprise data. For our customers, most of which are leading brands and enterprises across the world, the debate is not whether they want to adopt AI in their digital experiences. Their debate is that they're convinced they never want to compete against any business who does. And so it really becomes a question of what it takes and who can deliver now. We've seen many such stories recently where our customers have been able to quantify significant improvements in revenue, self-service or cost reductions and fast. In particular, I want to highlight a story published in Forbes just 3 weeks ago on October 5 about the deployment of Coveo at SAP Worldwide. SAP reports measuring a reduction of 1.6 million cases annually in their global support organization, thanks to Coveo's ability to make generative AI work at high precision on their secure data. The data Coveo stitches in context for millions of users comes from dozens of secure internal sources at SAP and more than 10 million documents across the world. Coveo grounded generative AI provides direct responses to questions while showing exactly which SAP document sources the information came from, similar to how GPT works, but trained on SAP's specific knowledge. According to their calculations, this accounts to more than EUR 100 million in annual savings. And SAP isn't stopping a cost reduction. The company is now using behavioral analytics to intervene before customers encounter problems. Such results are not only impressive, but more importantly, few companies such as Coveo can deploy and measure. And this kind of capability is what will fuel our growth. What we're seeing in the market is extremely encouraging. First, enterprises are awash in AI talk. They are drowning experiments. They're parsed for results. Boards are now asking harder questions about AI, looking for measured outcomes on the P&L. And at the same time, every company fears not being at the forefront of AI innovation. In such an environment, showing results in a practical easy platform to deploy has become immensely valuable. We've said it before. The launch of ChatGPT almost 3 years ago was more than the launch of generative AI. It was the true catalyst that woke up the world on the power of AI, but both the nature of it and the hype confused the business world. What our customers have realized after trusting their own IT to figure out how and where to deploy AI is that the intuitiveness of ChatGPT in particular, masks the complexity of deploying it successfully on their own secure enterprise data. That's precisely the plumbing and intelligence that Coveo provides. For most companies, it's been a journey of experimentation with innovation and also a journey of education. Today, we're talking to market more proficient about the necessary capabilities much more appreciative of the importance of a platform such as Coveo that can connect to any data, not confined to a specific data platform, an AI stack that can deliver the highest levels of relevance precision enterprises need into any application, whether it's website, commerce, contact center, Internet, portals and now into any agency framework, but also an ability to deliver using your own trained LLM. While this may sound perhaps quite technical, making AI models work at high relevance precision on enterprise data is the primary differentiation that Coveo brings, a decade-long cumulative innovation that is tough to replicate at maturity and the difference between delivering results versus claiming you will or failing to deploy in production. This is the reason why today, several of the leading global technology companies use Coveo and why some of the largest commerce brands use our platform. And Laurent will discuss transactions with some of these leading brands. The other good news is that this same need around data grounding precision and relevance is unfolding in agent tech. I want to refer you to our recent announcement of how Coveo unlocks custom actions for AI agents and how, for example, Coveo for Salesforce Agentforce sends queries to the Coveo AI platform to return higher precision results but from all connected content sources. We basically enable any AI agent to operate within the guardrails of all secure and governed enterprise content shaped by the user's reality. This announcement is important and was personally endorsed by the President and GM of Applications and Industries at Salesforce. We believe that the market will continue to move towards us as we chase real-world results, that it's only a matter of time and that maturing buyer knowledge plays in our favor. We've said many times on previous earnings calls that we believe Coveo will be a market taker in this industry. We started applying AI to large-scale search relevance and personalization problems in 2012, building on our history of leadership in enterprise search. And we have built arguably the industry's deepest technology platform to ground AI models and broad enterprise data. And that's why we can deliver on the extreme relevance, precision and scale that enterprises require, something others have underestimated and can't deliver on. With that, Laurent, take it away.
Laurent Simoneau: Thanks, Louis, and hello, everyone. To quickly summarize our key results. Subscription revenue for the Coveo Core Platform was ahead of guidance, accelerated to 17% and represented the highest growth rate we have seen in nearly 5 quarters. Adjusted EBITDA was also above our guidance range at $0.6 million. The results we delivered this quarter, along with the accelerated growth we have achieved, underscore Coveo's pivotal role in the era of agentic and generative AI. They reaffirm that our platform and solutions are not only highly relevant, but foundational for this new wave of innovation. Throughout the quarter, my discussions with customers, partners and the demand signals we're seeing from some of the world's most forward-thinking organizations have reconfirmed that search remains a fundamental enabler of any reliable ROI-generating agentic or generative experience. As a platform that powers search with the most relevant content, Coveo continues to be mission-critical to our customers' ability to deploy agentic and generative AI solutions that deliver tangible business outcomes and solve real-world problems like we highlighted earlier on with SAP and the impact we're driving with many others. That said, I'd like to address upfront why our Coveo Core net expansion rate was 105% this quarter compared to 108% last quarter. The difference is primarily due to a renegotiated customer contract with Salesforce, representing approximately 3% of our ARR. This onetime renewal adjustment by Salesforce simply reflected their internal mandate to run Salesforce on Salesforce and Data Cloud. We view this as a unique situation, and I want to emphasize that this does not reflect the solid underlying momentum we're seeing with our customers. Our customers are large global enterprises that operate with content across a diverse technology stack. And while it may be feasible for Salesforce to run at Salesforce, this is not the case for the vast majority of our customers. So net-net, we view this as an isolated event. Salesforce does remain a customer and a strategic partner for Coveo. This was highlighted in our October 14 press release featuring Illumio, an early adopter of Coveo for Agentforce. By leveraging the strengths of Coveo, Illumio has improved content retrieval accuracy, enabling more relevant answers, better agent actions and ultimately a stronger self-service outcome. Illumio measured 95% success rate with Coveo in their formal evaluation, resulting in an accelerated go-live. Illumio is just one example. Others, including Xero Software, Palo Alto Networks, CrowdStrike, Workday and Intel have not only extended their engagement with us, but are also leveraging Coveo to drive generative search and support their agentic road maps. These customer stories give me confidence that we're on the right path and have a great future ahead. Commerce remains our fastest-growing segment and drove nearly 50% of new business bookings this quarter. Within commerce, our SAP partnership continues to show momentum, influencing 50% of commerce bookings. Customer wins in commerce included the European DIY retailer, HORNBACH, Solar, Carlton One and several others. We're quite excited about commerce moving forward, and we continue to anticipate this will be our fastest-growing use case, where we see significant opportunity ahead. This segment is benefiting from multiple tailwinds, including our leadership position in B2B commerce and the accelerating convergence of commerce and knowledge into a single integrated capability. Let me expand with a customer example. Today's commerce platforms simply are not optimized to handle the inherent complexities of B2B commerce. They struggle to index the countless combinations and permutations that arise from a B2B merchants unique pricing models, customer entitlements and real-time inventory data query time. What starts as a modest SKU catalog can quickly multiply in size and complexity. The Coveo platform is designed to operate at this scale. Good example is Cardinal Health, a global leader in health care services and products. Cardinal Health manages a vast portfolio with several hundred thousand SKUs and more than 100,000 different pricing structures. This dynamic environment results in an effective record count in the tens of billions and a level of complexity that few, if any, platforms can manage efficiently. Cardinal Health chose Coveo platform for its ability to deliver fast, personalized and relevant results at scale. Another tailwind is one where Coveo's deep knowledge expertise is now unlocking powerful new value in commerce as the line between commerce and service queries blurs. A good example of this would be Bunnings Warehouse, a leading Australia-based home improvement retailer where Coveo powers both product discovery and support experiences through one unified AI platform. This convergence creates a major opportunity for enterprises, and Coveo is uniquely equipped to lead the way. Our generative AI solutions, which represented more than 35% of new business bookings this quarter reflected continued strong momentum. I am encouraged by the progress we are making. This was one of our best quarters for customer adoption and revenue growth since launching the product. We welcomed several new customers, including Halliburton, one of the world's largest oil and gas equipment manufacturers as well as Deckers Outdoors, Intermountain Healthcare and the BMR Group. We also saw meaningful expansions from existing customers such as NVIDIA, Intel, GE, UKG, HP Enterprise, and Freedom Furniture who continue to increase their investments in our generative AI solutions. We're especially proud of these expansions. They come from customers who have experienced the value of Coveo's generative AI firsthand and continue to deepen their adoption, clearly validating the ROI our solution deliver. On the innovation front, we've been testing, validating our agentic RAG and conversational capability with some of our closest customers and continue to make excellent progress. Within our commerce use case, we're moving forward with key capabilities such as conversational commerce, content intelligence and more. These areas will help drive next wave of differentiation for Coveo. Finally, at an operational level, as we regularly do, we're making sure our investments are directed at the best areas of return. We're moving quickly to optimize our go-to-market investments in light of some of the recent dynamics to ensure we continue to build momentum. In this respect, we're pleased to welcome Pranshu Tewari, who will be joining Coveo as Chief Marketing Officer, effective November 10. Pranshu brings extensive experience in enterprise SaaS, having held senior executive positions at Mendix and Dell Software Group. Improving Coveo's market awareness and presence is an important objective of the company, and I welcome Pranshu’s expertise in helping in this area, among others. Lastly, John Grosshans will be departing from Coveo effective November 1. We thank John for his contributions, and we wish him continued success in his future endeavors. To wrap up, our market is dynamic, and I continue to be confident in our path ahead. Based on our innovation, the strong results we are delivering to our customers and partners and a healthy pipeline of future business. With that, I will pass it to Brandon, who will discuss our financial performance. Brandon?
Brandon Nussey: Thanks, Laurent. I'm pleased to report that our Core Coveo Platform grew 17% year-over-year, driven by continued momentum of our generative AI solutions, commerce use cases and expansion within our base. Before we get into details, I will quickly summarize our Q2 fiscal '26 results. SaaS subscription revenue was $35.9 million and grew 15%. Within this, revenue for our Coveo Core Platform was $35.0 million and was up 17%. Revenue from the Qubit Platform was $0.9 million in the quarter and was down 24% year-over-year. We continue to expect that this revenue will fully churn by the end of our fiscal year. Total revenue was $37.3 million, up 14% over last year. And our NER for the quarter on the Coveo Core was 105% -- up from 104% a year ago, but down sequentially for reasons discussed shortly. Gross margin and product gross margin were 79% and 82%, respectively, similar to the prior period. Adjusted EBITDA was slightly ahead of our guidance range at $0.6 million versus $1.5 million a year ago. Cash flow from operating activities were negative $10.8 million versus a positive $1.4 million last year due mainly to the timing of working capital. We ended the quarter with $108 million in cash and no debt. Digging into the quarter in further detail, we saw success in our long-term growth drivers again this quarter. Generative AI solutions saw another record quarter with both customer and revenue growth of approximately 150% compared to the prior year. Importantly, we continue to maintain near perfect retention rates with NER from these solutions at more than 150%. This means customers are adopting, getting value and expanding their usage, which is a great long-term signal for us. In commerce, which once again was our fastest-growing use case, we delivered one of our best quarters ever for new business bookings. Commerce momentum continues to accelerate, driven in part from our ongoing successful partnership with SAP, and we remain confident it will be a key driver of our growth going forward. We continue to see encouraging signs from our existing customers and capturing the white space in our customer base remains an important growth driver for us. Our investments in our account management function continue to show a positive impact, and the results are generally tracking to our plans. This is also having a positive impact to our revenue retention rates, broadly speaking. While the quarter contained many positives, we navigated a couple of near-term dynamics as well. The renegotiated contract with Salesforce that Laurent spoke to will serve to reduce our NER and ARR growth rates by approximately 3% with the effect on recognized revenue spread over the next 4 quarters. This is an isolated customer-specific item and importantly, excluding this customer, churn was the lowest we've seen in the past 7 quarters. Additionally, after several quarters of record new business, in Q2, we saw some deals that were forecasted to close move to our Q3 and beyond. The good news is that some of these deals have already closed in October, getting Q3 off to a good start. With others, however, we observed that additional stakeholder approvals were required as our solutions become more strategic for these customers. I'd like to emphasize, we haven't seen these go to competitors. They simply require more time. In light of this, we're taking a prudent approach to our second half bookings assumptions. So bringing this together, we now expect to land at the low end of our previously issued guidance range for revenue for the fiscal year and are bringing down the top end of the guidance range accordingly. In Q3, we expect SaaS subscription revenue of between $35.7 million to $36.2 million and total revenue of between $37.1 million and $37.6 million. For the full year of fiscal '26, we expect SaaS subscription revenue of $141.5 million to $142.5 million, adjusted from $141.5 million to $144.5 million. And total revenue of $147.5 million to $148.5 million, adjusted from $147.5 million to $150.5 million. With roughly 3% impact from the renegotiated customer contract, along with measured second half bookings expectations in mind, we now expect to exit the year with roughly mid-teens ARR growth. Improving our rule of metrics remains a top priority, and we're committed to doing so. As you've seen from us historically, we will remain disciplined operators, and we'll continue to be diligent about deploying our capital. To that end, we're making proactive targeted investment adjustments within our go-to-market organization to ensure resources are aligned with our highest return opportunities and to quickly adapt to the dynamics we saw in the quarter. We continue to see strong performance in several of our key growth drivers, and we're focused on giving those the investment they need to scale efficiently. Consequently, despite lower revenue expectations, we're maintaining our adjusted EBITDA guidance of approximately breakeven for both the third quarter and the full fiscal year. We still expect to deliver positive operating cash flow for the full year, adjusted from approximately $10 million as we incorporate the impact of the renegotiated customer contract, assumptions around second half bookings and some onetime costs associated with the go-to-market adjustments we discussed above. In summary, our reported revenue growth rate of 17%, which was improved from 11% a year ago, was driven by the building momentum we're seeing in our long-term growth drivers. We continue to see many positive signs surrounding those growth drivers, and we have many things to be proud of this quarter. Despite the short-term challenges encountered in the quarter, we continue to see many opportunities ahead. And with that, operator, you may open the line to questions.
Operator: [Operator Instructions] We'll take our first question at this time from Richard Tse with National Bank Capital Markets.
Richard Tse: I was wondering if you could update us on any plans to shift to a sort of consumption-based pricing model that would potentially create a revenue lift. And I ask that because Louis, when you talked about SAP, it sounds like it's a substantial kind of savings that they're getting from your sort of Coveo. And are you kind of harvesting sort of full value from these relationships?
Louis Tetu: Richard, so here's what's happening. In our business, those are obviously massive customers. And so we're very proud that we're now -- we have multiple examples where we're completing the cycle of essentially selling to the customer, deploying on a global basis. I mean, SAP is a massive deployment on a worldwide basis. And then completing the cycle of measuring. As we said about the SAP announcement, SAP measured, and it's -- you can find it in the Forbes article, measured a reduction of 1.6 million cases annually. And the number they measured was more than $100 million of savings. So I understand the gist of your question that when you think about this, the value that we provide is, in a way, for now, still somewhat in commensurate with the price we charge. We view that as a positive tailwind moving in the future. The more we bring and measure those proof points, Richard, the more we gain price power for our solutions. Our solutions today are consumption-based pricing. You can see that, obviously, as we said, they generate much more value. And as we accumulate these proof points, and we have many more that you can -- some of which you can see on our website, I think that bodes well for, again, price power progression.
Richard Tse: I just have one other question. So in your MD&A on Page 8, you sort of talked about incorporating AI into some of your products. So can you maybe help me understand the divide in terms of where your IP is versus the use of external IP when it comes to AI with respect to that comment in the MD&A?
Laurent Simoneau: Yes, Richard, this is Laurent here. So, we are an AI platform company here. We have multiple models that we build ourselves, that we manage, that we maintain, that are targeted towards relevance. We also include large language models when required in multiple use cases. And -- because we're built with interoperability in mind, we have the ability to either use our own models or leverage something that is best-of-breed or that in certain use cases that is that run at lower cost, and that may be what's used here. So we have a wide variety of AI usage. A lot of this is based on our IP. But as always said, we're pragmatic and we're leveraging what's the best for our customers.
Operator: Our next question comes from Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: Regarding the commentary on some deals that have been delayed, are there any common themes there, be it with respect to the verticals where you're seeing that, the geographies, the type of use case? Is it driven by budgetary scrutiny initiatives? Or is it more about the client deciding strategic approach of whether to custom build internally versus a platform like yours? And any common themes you'd call out in that regard?
Louis Tetu: Yes. Great question, Thanos. I don't think there's any vertical themes or anything like that that was common. What we are finding, and maybe it relates a bit to Louis's comments earlier that as we deploy and -- initially deploy and start to measure what ends up happening is customers will come back and look to buy more from us. And that will tend to be then a transaction size that's above what we historically have been doing on average. And as it gets further and further deployed, it's -- we found in some cases that we're bumping into additional stakeholder groups inside of these customers that increasingly where we need those approvals. So, it's really a function of us becoming a little more strategic at our customers is what we're seeing in many of these instances. And with that comes a few more steps in the sales process. So, as I said on the prepared comments, these are deals we continue to work. They're still in our pipeline. They're just taking us a little bit more time to get them done.
Thanos Moschopoulos: Just to clarify, so is this primarily impacting then expansion deals? Or in some cases, you brought in to do proof of concept, but then when people see the savings and how that expands, it goes to a bigger deal than initially contemplated for new logo?
Louis Tetu: Yes. I mean, not to say we don't see it on some of the new opportunities as well. I do think we've always taken a proof-of-concept type approach to winning new logos. And so, we do see just the stuff we do is strategic to these folks. So, we might see a little bit of it there, but yes, definitely on the expansion side as well.
Thanos Moschopoulos: Last one for me. Do you have plans to backfill the COO role? Or will the responsibilities be reallocated amongst existing executives?
Laurent Simoneau: Yes. So, first of all, we have a great team of leaders today that are running the operations with a lot of maturity and stability. And yes, we expect to fill a CRO role in the coming months.
Operator: [Operator Instructions] Our next question comes from Paul Treiber with RBC.
Paul Treiber: I was just hoping you could elaborate a bit further on the change in the relationship with the contract with Salesforce. What drove the change in terms of -- like is it specific use cases that they felt they could use internally developed software versus using Coveo? Or is it something else that drove the change?
Laurent Simoneau: Thank you, Paul, for the question. So look, it's really a commercial imperative from their side to run as much as they can Salesforce on Salesforce. We are disappointed, but we believe it's isolated. We have not heard that from other prospects or customers because, quite frankly, it's hard to consolidate everything on one single platform, right? It's very hard. So Salesforce remains a customer of Coveo. Our partnership remains unaffected by this. You've seen PR and endorsement from the President of Applications at Salesforce. So we expect this to be an isolated event.
Paul Treiber: Just another question, the AWS outage, did that have an impact on your business in October when that happened? Do you expect any impact? Or were you resilient to it?
Laurent Simoneau: So thank you for this question. So, the short answer is we have 0 downtime on what matters, which is search and queries because we built a resilient platform understanding that while rare, these events may happen once in a while. Our customers select us for a long period of time. They love the fact that we are resilient to a lot of these events that may happen and that may have a big impact, especially our commerce customers. So yes, thank you for your question. We were proud of the team and the architecture to support this situation.
Operator: Our next question comes from David Kwan with TD Cowen.
David Kwan: I was wondering just more on the Salesforce, I guess, renegotiation. Can you comment when, I guess, the renewal hit? I assume it was -- it sounds like -- I'm guessing the second half of the quarter. And then of the $2 million reduction in the high end of the guidance range, how much of that was related to Salesforce versus the adjustment in terms of your booking’s assumptions?
Brandon Nussey: David, yes, look, it was a September 30 renewal. And as you can probably appreciate, there's lots of discussions in the back half of the month that got us to that point. So, it was a late in the quarter renewal. And as it pertains to the guidance, look, it's -- you can do the math, 3% of the ARR. The good news is we're still within our guided range. I think that speaks to some of the underlying momentum we have had that we can absorb this. But at the same time, second half revenues are impacted primarily by this event.
David Kwan: That's helpful. And as it related to the, I guess, the EBITDA guidance, you guys have talked about, I guess, trying to make up for some of that lost revenue just on better cost optimization. I just wanted to clarify, I guess, it sounds like -- it doesn't sound like there's much of an impact as some of the growth investments that you're planning to make this year to help drive an acceleration in growth. Is that correct?
Brandon Nussey: Yes. Look, that's a constant exercise to optimize your spend, especially as we've been building our go-to-market function up to increase presence and coverage and so on. So that's a constant exercise of making sure we've got the chips on the right spot on the table. And so, there's a little bit of that happening. But to your point, it's not going to impact the big picture. We have been building on that line. We're in a good spot now. It's just making some tweaks here and there to make sure that we are optimizing that investment and getting the unit economics we expect out of it.
David Kwan: Just one last question. Just wanted to get a sense for the commerce business, just trying to compare the opportunity in the B2B market versus the B2C.
Laurent Simoneau: Yes, David, Laurent here. So, what's very interesting in the B2B market first of all, is the scale of a lot of our customers from a combination of catalog size and entitlements, think about pricing and think about availability of products and so on. So, you start with that foundational -- so that's a foundational challenge that we address at a scale that is quite unique in the market. And then what is -- was quite exciting for us is that now these customers are starting to experiment with convergence between classic commerce and also some knowledge functions. So we're seeing their own customers, their own shoppers starting to ask queries that maybe commerce, maybe support and having the convergence of those 2 together opens up a lot of possibility from an experience standpoint. And we believe that we're uniquely positioned to address both sides at the same time.
Operator: [Operator Instructions] Our next question comes from Suthan Sukumar with Stifel.
Suthan Sukumar: For first question, I want to touch on the sales front. What would you call out as having changed the most sequentially with respect to your customer conversations for new deals with respect to initial scope, use case adoption? And can you provide an update on the ongoing ramp-up and efficiency of your recent sales hires?
Laurent Simoneau: So thank you for your question, Suthan. I think that we're seeing -- one of the things that we're seeing is that deals are becoming larger and therefore, sometimes more complex. And as Brandon said, now happens that they take a little bit more time in some cases. So that's something that overall, I think it's positive, but has changed a little bit the texture of the deals that we're seeing. And of course, commerce is quite robust, and we are seeing these -- again, this convergence of commerce and knowledge as a next step of initial commerce deal potentially that is something that we are seeing as something that is evolving.
Brandon Nussey: Yes. Susanne, on the efficiency question, look, as you can probably guess, pleased with some areas, work to do in others. I think that's natural as on the journey we are on. And so we're reacting to the data as we see it and making the adjustments you'd expect us to. But overall, headed in the right direction and pleased with the progress.
Suthan Sukumar: Great. For second question, I wanted to touch on the SAP relationship. This -- to me, it sounds like this is humming quite well. Can you provide an update on sort of their broader agentic AI strategy with Joule? And what's your level of exposure there and how you expect to be working with them on that? I'm just kind of curious if the model here will be similar to what you guys have in place with Agentforce? Or could this be a different model altogether?
Laurent Simoneau: Yes. So, we have a relationship -- multiple relationships with SAP. SAP is a very important customer of Coveo. As you saw with the with the Forbes article and the amazing case study on their SAP for Me portal. So, there's SAP the customer. There's SAP to partner with I would say, a focus on e-commerce, but it's now expanding into the other dimensions of CX starting with customer service. So, we have a partnership also with them on that. So, SAP's strategy is to bring Joule as the front end from a copilot/agentic perspective on top of those different properties that they have from a product portfolio perspective, but they also want their own customers to use Joule on top of their own customer-facing assets such as SAP for Me. It is planned that Coveo will play a pivotal role into this Joule version on top of SAP for Me of the agentic version. Coveo will bring the consistent relevant content that we're bringing on the SAP for Me classic portal available also into this Joule interaction point, so customers will be able to ask a question on Joule that is consistent with what they saw on the SAP for Me portal. So that's something that is happening right now that is being built and optimized. And we expect that once we have that, it will be hopefully an amazing example for SAP customers to adopt in the future.
Operator: That appears to be our last question. I'll turn the conference back to Laurent Simoneau, Co-Founder and Chief Executive Officer, for any additional remarks.
Laurent Simoneau: All right. So, thank you again, everyone, for joining and to our shareholders for your continued support. We look forward to updating you at our next earnings call after our Q3 results. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.